Operator: Ladies and gentlemen, thank you for standing by and welcome to the MetLife's Third Quarter 2015 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session; instructions will be given at that time. As a reminder this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws including statements relating to trends in the company's operations and financial results in the business and the products of the company and its subsidiaries. MetLife's actual results may differ materially from results anticipated in the forward-looking statements as a result of risks and uncertainties including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission including in the "Risk Factors" sections of those filings. MetLife specifically disclaims any obligation to update or revise any forward-looking statement whether as a result of new information, future developments, or otherwise. With that, I would like to turn the call over to Ed Spehar, Head of Investor Relations.
Edward A. Spehar - Head of Investor Relations, MetLife, Inc.: Thank you, Greg. Good morning, everyone, and welcome to MetLife's third quarter 2015 earnings call. We will be discussing certain financial measures not based on generally-accepted accounting principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures and related definitions to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings release, and our quarterly financial supplements. A reconciliation of forward-looking financial information to the most directly-comparable GAAP measure is not accessible because MetLife believes it's not possible to provide a reliable forecast of net investment and net derivative gains and losses which can fluctuate from period to period and may have a significant impact on GAAP net income. Now joining me this morning on the call are; Steve Kandarian, Chairman, President, and Chief Executive Officer; and John Hele, Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the discussions are other members of our management team. After prepared remarks, we will have a Q&A session. In fairness to all participants, please limit yourself to one question and one follow-up. With that, I'd like to turn the call over to Steve.
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Thank you, Ed, and good morning, everyone. Last night, we reported third-quarter operating earnings per share of $0.62, which included a pre-announced non-cash charge of $0.70 per share related to the tax treatment of a wholly-owned, UK-based investment subsidiary. Adjusted for this and other notable items, operating earnings per share were $1.36 in the quarter which compares to $1.51 on the same basis in the prior-year period. Adjusted for notable items, operating return equity was 10.7% and tangible ROE was 13.1% in the quarter. While operating EPS adjusted for notable items, we're down this quarter, our nine-month results on the same basis were up 3% with an operating ROE of 11.5% and tangible ROE of 14.2%. Macroeconomic factors, foreign currency, equity markets and interest rates explain the year-over-year decline in third-quarter operating earnings per share adjusted for notable items. Broad-based strength in the U.S. Dollar reduced operating earnings for international businesses by $0.09 per share with significant weakness in the Mexican and Chilean Pesos, the Aussie Dollar and the euro. Equity market performance relative to the prior-year quarter hurt operating earnings by $0.04 per share. Most of the negative impact was in retail annuities. The poor equity market performance also hurt the co-investment related earnings from ProVida AFP. The persistent low interest rate environment remains challenging and reduced operating earnings adjusted for notable items by $0.03 per share relative to the third quarter of last year. Investment margins have been resilient in recent years as a result of affected asset liability management, low interest rate hedges, and variable investment income. However, we face ongoing headwinds from new money yields that are 100 basis points to 150 basis points below the portfolio yield and from the gradual expiration of derivative protection. From a balance sheet standpoint, we believe low interest rates are a manageable risk. For example, we completed our annual actuarial assumption review in the third quarter and the negative impact from low rates on net income was less than $180 million. A key driver of this charge was an assumption change on how long it would take for the 10-year treasury yield to reach a normalized level. We are now assuming it takes 11 years for the 10-year treasury yield to increase to our normalized assumption of 4.5% versus three years previously. Turning to regulatory issues, we recently received a clearance indication to date regarding the Federal Reserve's thinking on capital rules for federally regulated insurance companies. In a speech delivered in late September, Federal Reserve Board Governor, Dan Tarullo, commented on the importance of a liability side of insurance company's balance sheet when constructing capital rules. He said, "Traditional insurance liabilities argue for lower capital requirements that might be required for hypothetical bank holding a similar portfolio of assets." These are welcome comments made possible by the enactment of the Insurance Capital Standards Clarification Act in December of last year. At the same time, Governor Tarullo said the balance sheets of many large life insurers contain liabilities that he does not consider traditional. Our takeaway is that while the Fed clearly recognizes the difference between the bank business model and the insurance business model, we still need to see draft capital rules before we can draw any firm conclusions about the impact on our business. On a parallel track, international regulators are developing capital rules for global systemically important insurers. Here too, the news is mixed. On October 5, the International Association of Insurance Supervisors released its proposal for higher loss absorbency capital requirements or HLA. While MetLife holds capital comfortably above the levels prescribed by the IAIS, we have two concerns with the methodology. The first is that the required capital levels in the international framework are pro-cyclical and potentially volatile because they are based on a mark-to-market approach that ignores the ability of insurers to hold assets for the long term. The second is that the IAIS proposes to apply higher capital charges to so-called non-traditional, non-insurance activities. Certain products with guarantees such as variable annuities are deemed non-traditional while other products with similar guarantees sold by competitors elsewhere in the world are deemed traditional. This highlights the risk that MetLife has consistently identified in determining what is systemic that regulators will inadvertently pick winners and losers in the life insurance industry. The good news is that the IAIS has said the higher loss absorbency rules will be subject to revision before the target effective date of 2019. In fact, the IAIS is launching a review this month of the definition of non-traditional insurance. It has said that any changes will flow through to the HLA rules. Another regulatory issue MetLife is following closely is the Department of Labor's proposed fiduciary rule. As drafted, the rule would make it significantly more difficult for life insurance companies to sell variable annuities. MetLife has shared its concerns with the DOL in comment letters. And a majority of members in both the House and Senate had asked the department to make changes to the rule. In addition, several members of Congress are beginning to work on a legislative alternative to the DOL proposal which underscores the growing awareness that the proposal will harm consumers by reducing choice and limiting access to financial education and investment advice. I would now like to comment on cash distributions to shareholders. As you know, on September 22, we increased our share repurchase authorization from $261 million to $1 billion. We are comfortable with this authorization given our current capital position which we continued to maintain above historical levels because of uncertain capital rules. Since the announcement, we have repurchased $261 million of stock, including $107 million in the third quarter, and we plan to remain an opportunistic buyer of our shares. In the first nine months of 2015, our total payout to shareholders was $2.3 billion, with roughly an even split between share repurchases and dividends. This total payout equals approximately half of our nine-month operating earnings adjusted for notable items and is in line with our guidance of a 45% to 55% ratio of free cash flow to operating earnings. MetLife's philosophy remains unchanged. Excess capital belongs to our shareholders. In my annual letter to shareholders this past March, I said that free cash flow generation has become an enterprise-wide imperative for MetLife, one that will form all of our major business decisions in the months and years ahead. As mentioned during our second quarter earnings call, we've undertaken a granular analysis of the cash and capital characteristics of our business. This ongoing work is helping us improve our capital allocation process, which we expect will drive more value for shareholders over time. In closing this morning, I want to provide an update on the management structure of our Americas region. MetLife is taking a deliberative approach to find the right leadership for the Americas. While our search continues, we have named Eric Steigerwalt as interim head of the U.S. business reporting to me. In addition to retail, Eric will oversee our other U.S. businesses: Group, Voluntary & Worksite Benefits, Corporate Benefit Funding, and U.S. Direct. Oscar Schmidt will continue in his role as head of our Latin America business, also reporting to me. Both are strong leaders focused on generating long-term value for MetLife's shareholders. I will now turn the call over to John Hele to discuss our financial results in detail. John?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Thank you, Steve and good morning. Today I'll cover our third quarter results, including a discussion of insurance margins, investment spreads, expenses, and business highlights. I will then conclude with some comments on cash and capital. Operating earnings in the third quarter were $705 million or $0.62 per share. This quarter included five notable items which were highlighted in our news release and disclosed by business segment in the appendix of our quarterly financial supplement or QFS. First, we had a previously announced non-cash charge of $792 million or $0.70 per share related to the tax treatment of a wholly-owned U.K. investment subsidiary of Metropolitan Life Insurance Company. Second, as a result of our annual actuarial assumption review and other insurance adjustments, we had an after-tax charge to operating earnings of $92 million or $0.08 per share. The total after-tax charge to net income was $210 million. Retail accounted for $228 million, partially offset by modest positive earnings impact in Asia and EMEA. The impact in retail was mainly due to the change in our assumptions to reflect the persistent low interest rate environment and our current view that rates will remain below normal levels longer than we had originally assumed. As you heard from Steve, we are now assuming that it takes 11 years for the 10-year treasury yield to reach 4.5% versus three years previously. We've also lowered our long-term earned rate assumption for annuities from 5.25% to 5%. Our long-term earned rate assumption for life insurance is unchanged at 5.75%, and our long-term separate account return assumption remains 7.25%. Third, variable investment income was $174 million after taxes and DAC, which was $37 million or $0.03 per share, below the bottom end of our 2015 quarterly guidance range. Fourth, we have favorable one-time tax items in the Americas, which increased operating earnings by $72 million or $0.06 per share. Finally, we had lower than budgeted catastrophe losses in favorable prior-year reserve development, which increased operating earnings by $21 million or $0.02 per share. In total, notable items included in operating earnings were $828 million or $0.73 per share. Turning to our bottom line results: Third quarter net income was $1.2 billion or $1.06 per share. Net income was $492 million higher than operating expenses, primarily because of derivative and investment portfolio net gains. The derivative net gains were driven by lower interest rates and strengthening of the U.S. dollar against certain currencies. The investment portfolio net gains were mainly the result of real estate sales. The difference between net income and operating earnings in the quarter included a favorable impact of $568 million related to asymmetrical and non-economic accounting after tax. Book value per share, excluding AOCI other than FCTA, was $51.11 as of September 30, up 3% year-over-year. Tangible book value per share was $42.21 as of September 30, up 6% year-over-year. With respect to third-quarter margins, underwriting, primarily in the U.S., was less favorable than the prior-year quarter by $0.03 per share after adjusting for notable items in both periods. Retail life and other and property and casualty were the primary drivers of the year-over-year result. Retail life's interest-adjusted benefit ratio was 53.4%, excluding a 4% point impact from the actuarial assumption review. The ratio was less favorable than the prior-year quarter of 51.0% on a comparable basis but within the expected range of 50% to 55%. Average net claims from large based policies were higher than the prior-year quarter but within the normal range of expectations. The group life mortality ratio was 86.1% or toward the low end of the expected annual range of 85% to 90%. The ratio is favorable to the prior-year quarter's 87.8% due to better claims experience. The non-medical health interest-adjusted loss ratio was 80.7%, approximately in line with the prior-year quarter of 80.5% and within the targeted range of 77% to 82%. In property and casualty, the combined ratio, including catastrophes, was 90.9% in retail and 97.7% in group. The combined ratio, excluding catastrophes, was 84.0% in retail and 92.7% in group. Overall, P&C underwriting was unfavorable versus the prior-year quarter. We experienced higher non-catastrophe claim costs primarily due to higher frequency and severity in our auto business as well as higher catastrophes. Turning to investment margins; the average of the four U.S. product spreads in our QFS was 202 basis points in the quarter, down 28 basis points year-over-year. Pre-tax variable investment income was $267 million, down $157 million versus the prior year quarter due to weak hedge fund performance and lower prepayment income. Product spreads, excluding variable investment income, were 172 basis points, down 13 basis points year-over-year. Lower core yields accounted for most of this decline as a result of the low interest rate environment. With regard to expenses, the operating expense ratio was 24.2%, unfavorable to the prior-year quarter of 23.0%. There was an interest-related component of the non-cash tax charge that flowed through expenses. Excluding this item, the operating expense ratio was 21.4% or 160 basis points better than the prior year, primarily driven by strong pension closeout sales. I will now discuss the business highlights in the quarter. Retail operating earnings were $523 million, down 33% versus the prior-year quarter; and down 10% after adjusting for notable items in both periods. Life and other reported operating earnings of $183 million, down 50% versus the prior-year quarter and down 14% after adjusting for notable items in both periods. The primary drivers were lower expense margins, less favorable underwriting primarily in P&C and lower recurring investment income. Life and other PFOs were $2.1 billion, down 3% year-over-year as growth in the open block was more than offset by runoff of the closed block. Core retail life sales were up 36% year-over-year primarily driven by whole and term life. Annuities reported operating earnings of $340 million, down 19% versus the prior-year quarter and down 8% after adjusting for notable items in both periods. The key drivers were less favorable initial market impact, higher expenses, and taxes. The separate account return was negative 6% in the quarter. Total annuity sales were $2.4 billion in the quarter, up 20% year-over-year. We continue to see good momentum with our index-linked annuity Shield Level Selector and we expect this product to exceed $1 billion in sales this year. Also, our new VA guaranteed minimum withdrawal benefit rider, FlexChoice, continues to gain acceptance in the market and drove VA sales to $1.8 billion this quarter, an increase of 15% year-over-year. Group, Voluntary, & Worksite Benefits or GVWB reported operating earnings of $238 million, down 1% versus the prior-year quarter and essentially flat after adjusting for notable items in both periods. Business growth in the quarter was offset by less favorable underwriting in P&C primarily in the auto business. GVWB PFOs were $4.4 billion, up 2% year-over-year. Sales were down 12% year-over-year as we continue to see an impact from increased competition in life and dental. Sales of voluntary products increased 24% due to growth in property and casualty. Corporate Benefit Funding or CBF reported operating earnings of $326 million, down 17% versus the prior-year quarter and down 13% after adjusting for notable items in both periods. The key driver was lower investment margins. CBF PFOs were $1.7 billion, up significantly year-over-year due to strong pension closeout sales in the quarter. Excluding closeouts, PFOs were down 15% due to lower structured settlement sales. Latin America reported operating earnings of $176 million, up 44% in the prior-year quarter and 100% on a constant currency basis. After adjusting for notable items in both periods, primarily Chile taxes, Latin America operating earnings were down 4% on a constant currency basis. The key drivers were less favorable underwriting and unfavorable market performance, partially offset by growth in the region. U.S. Direct which is included in Latin America's results had an operating loss of $7 million versus $15 million loss in the prior-year quarter reflecting lower expenses. Latin America PFOs were $940 million, down 18% and essentially unchanged on a constant currency basis as growth in ProVida and Argentina was offset by lower single premium immediate annuity sales in Chile. Total Latin America sales increased 3% on a constant currency basis primarily due to direct marketing across the region, partially offset by lower 40%s (22:59) sales in Mexico and single premium immediate annuity sales in Chile. Turning to Asian. Operating earnings were $338 million, up 9% from the prior year quarter and up 26% on a constant currency basis. Adjusting for notable items in both periods, operating earnings were up 22% on a constant currency basis driven by favorable business growth, $21 million in investment income from a loan sale and an unusual low tax rate. Asia PFOs were $2.1 billion, down 13% from the prior-year quarter but up 3% on a constant currency basis driven by higher A&H in Japan. Asia sales were down 10% on a constant currency basis due to two large group cases in Australia in the prior-year quarter. Excluding these cases, sales were up 6%. A highlight in the quarter was a 23% increase in Japan A&H sales as we continue to benefit from a refurbished product portfolio. EMEA operating earnings were $66 million, down 15% year-over-year, but up 14% on a constant currency basis, adjusting for notable items in both periods. Operating earnings were up 25% on a constant currency basis driven by business growth, particularly in the Gulf and the U.K. and favorable tax items. EMEA PFOs were $618 million, down 15% from the prior year period and down 1% on a constant currency basis. Excluding the impact from the conversion of certain operations to calendar year reporting in the prior year quarter, PFOs were up 4%. Total EMEA sales declined 8% due to strong employee benefit sales in the Middle East and the conversion of certain operations to calendar year reporting in the prior year quarter. Adjusting for these items, sales were up 3% driven by A&H, partially offset by lower than expected life and retirement sales. I will now discuss our cash and capital position. Cash and liquid assets at the holding companies were approximately $5.5 billion at September 30. The decrease from the previous quarter was driven primarily by the payment of our quarterly common dividend, interest expense, and share repurchases. Turning to our capital position, we report U.S. RBC ratios annually, so we do not have an update for the third quarter. For Japan, our solvency margin was 959% as of the second quarter of 2015, which is the latest public data. For our U.S. insurance companies, preliminary third quarter statutory results are an operating loss of approximately $900 million and a net loss of approximately $700 million. As previously disclosed on a statutory basis, the non-cash tax charge was $911 million in the quarter. Of this charge, $972 million (sic) [$792 million] (25:57) went to the statutory earnings and $119 million directly into surplus. In addition, earnings were negatively impacted by the stock market decline in the third quarter. Our strategy is to under-hedge for smaller market moves and accept the resulting volatility while ensuring we have sufficient hedges to protect against extreme shocks. We estimate our total U.S. statutory adjusted capital was approximately $29 billion as of September 30, which was comparable to December 31. In conclusion, third quarter operating earnings had several notable items that negatively impacted results, and market factors were unfavorable relative to the prior year. However, quarterly volatility is to be expected. While we were short of analysts' expectations in the third quarter, we exceeded expectations in the first two quarters of the year. We are striving to create long term sustainable growth and value and improvement in our free cash flow generation and material increase in distributions to our shareholders highlight this commitment. And with that, I will turn it back to the operator for your questions.
Operator: Thank you. One moment, please, for the first question. Your first question comes from the line of Tom Gallagher from Credit Suisse. Please go ahead.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Good morning. Steve, I would like to start with the comment that you made about – and I guess it was a backward-looking comment how you were indicating you have returned roughly 50% of normalized GAAP earnings to shareholders through buybacks and common dividends. Is that a reasonable expectation going forward from here? Because you obviously still have uncertainty with regard to the lawsuit with the government and SIFI rules but is the plan in place that you have and the expectation that we should have that 50% type distribution while you are in this state of limbo?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Tom, let me answer you in one second. But John just wants to make a quick correction to his comments.
John C. R. Hele - Chief Financial Officer & Executive Vice President: Yes. As I was going through my script, I said one number slightly backwards. Of the statutory charge in the quarter, of the $911 million of the charge, it's $792 million went to statutory earnings. I believe, and it was pointed out to me, I said $972 million. So it's $792 million went to statutory earnings and $119 million went directly into surplus
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Tom, things – obviously, I'm moving around as we hear from policymakers in Washington around the capital rules. As of now, there's no draft capital rules out for us to look at and consider with respect to our business. So while we thought these rules would be out well before now, we're still waiting. And our decision a couple years back was to begin returning capital to shareholders, excess free cash flow, and we built up what we believe is a good buffer but again, it's uncertain and we don't know how this will all play out. So right now it's a little bit of a judgment call. And we are in this year looking to return to shareholders the free cash flow that the business generated. I think if nothing changes in the external world, that'd be the pace we'd be on going forward in 2016 as well but I have to put some caveats in here because there could be a change in the environment that we learn about at some point in the future but that is our current thinking.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. So the 50% if nothing else changed, let's say it continued to be delayed for whatever reason, you'd be comfortable with the 50% based on what you know today?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: We'd be comfortable with what we're generating in terms of free cash flow and we are targeting at the 45% to 55% levels so assuming we achieve that, that would be a fairly good number to think about and if draft rules come out next year, that could impact our thinking, of course.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. And then the changes or the charges that you had this quarter related to both the tax item as well as the change in RBC coming from some adjustments to the variable – the onshoring of the variable annuity business, so the impact from that, would that affect the way you're thinking about returning capital and cash flow or no?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi. This is John. Our guidance of the 45% to 55% is still within the RBC and the tax charges that we've already spoken about.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. And then one last one if I could sneak it in, the cash flow project, can you comment on what should we be thinking related to this? I presume the goal is to move it higher but are we talking about, from the 45% to 55%, are we talking about potentially moving it meaningfully or do you think it's going to be very marginal in terms of where this might go?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Tom, we're in the process of finalizing our analysis on this so it's too early to say how that number would be impacted. But the goal clearly is to raise the number and we are looking at all of our businesses by product, by geography, by customer. There's a great deal of very granular analysis that's ongoing and we are looking at a number of factors as we think of our businesses including quicker paybacks on our products. So the goal here is to improve free cash flow and I should mention that companies that have undergone this process in the past and primarily in Europe took a number of years to go through this process. We are trying to condense that to a shorter period of time but it's not an exercise that one could go through in a couple of quarters. So we'll have more to say about it clearly next year but you can be assured that we are working very hard on driving higher our free cash flow ratio and as we learn things along the way here with our analysis, we're making adjustments on an ongoing basis.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks.
Operator: Your next question comes from the line of Jimmy Bhullar from JPMorgan. Please go ahead.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Hi. Good morning. So the first question I had is just on yours spreads. Even if we exclude the variable investment income, spreads came down a lot especially in the corporate benefit funding business I think they are 117 basis points versus almost 150 basis points in the second quarter and the third quarter of last year; so what drove the decline, and is this the normal base that you are looking to grow off of or was there something abnormal in the second quarter that would have pressured your results beyond the variable investment income impact?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi, Jimmy. This is John. So, CBF spreads, look in our quarterly financial supplement, do bounce around quarter to quarter. We had in December 2014, in our guidance call, said our spread outlook would be between 150 basis points to 170 basis points with 30 basis points to 40 basis points from VII, if you look at it for the nine months, we're at 173 basis points with 39 basis points from VII. But the third quarter was at the low end at 149 basis points with 32 basis points from VII, so you can see how this moves around quarter to quarter, a lot of VII second quarter. Remember we pointed out an accounting change that we did to also give a boost to the second quarter of CBF but within this guidance, it still makes sense for the 150 basis points to 170 basis points.
Jamminder Singh Bhullar - JPMorgan Securities LLC: And then on the $900 million statutory charge from foreign tax credits, I think you mentioned previously that the impact on your dividend capacity for 2016 would be around $90 million. Should we assume a commensurate impact in future periods as well beyond 2016?
John C. R. Hele - Chief Financial Officer & Executive Vice President: This is a one-time charge, remember statutory dividends are determined a year after the fact. The reason why it is not a larger impact is we are up against the lesser than rule of the New York which is dividends are the lesser of 10% of surplus or your earnings in the year. So this did affect as I said our statutory earnings, but it did not affect the dividend capacity for next year because we are bumping up against a 10% number, the 10% limitation.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thank you and just lastly on variable investment income, the weakness this quarter I'm assuming it's hedge fund driven and maybe the other private equity and prepayments were somewhat normal but maybe if you could give us some color on what drove the downside this quarter?
Steven J. Goulart - Chief Investment Officer & Executive Vice President: Hi, Jimmy. It's Steve Goulart. In looking at variable investment income for the quarter, most of the decline relative to plan in our range was in hedge funds. I think if you just look at what's happened in the market hedge funds had a pretty weak quarter and we saw it come through. I think John mentioned prepayments in some of his remarks but prepayments were still in line with plan, they were just down from a high quarter on a year-over-year basis. So it's really all about hedge funds and VII. And as we look forward to the fourth quarter we are comfortable that we will be back in the range that we have set out the $325 million to $425 million per quarter that we gave originally.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Suneet Kamath from UBS. Please go ahead.
Suneet L. Kamath - UBS Securities LLC: Thank you. Just a question John, I was writing down numbers pretty quickly did you say – can you go over the stat earnings in the quarter again on an operating basis?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Happy to. Let me just look at that page. For our U.S. insurance companies, our statutory results were an operating loss of approximately $900 million and a net loss of approximately $700 million. And of course this has the non-cash tax charge, it was $911 million on a statutory basis, $792 million went through statutory earnings and $119 million directly into surplus.
Suneet L. Kamath - UBS Securities LLC: So if we think about that $900 million loss, so you got $792 million of it from the charge so then there is a $108 million loss beyond that. I mean is that – essentially are all the stat earnings being offset by the fact that you have under-hedged on the equity side?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Yeah, that was one of the major impacts and it's not under-hedged, we don't fully hedge on smaller market moves but we have a macro hedge that protects against larger market moves, so we're trying to be cost-efficient in how we do this. We're willing to take some statutory volatility quarter to quarter to have an economical return on this product line but we're well protected if larger shocks kick in.
Suneet L. Kamath - UBS Securities LLC: Okay. And then my second question for Steve I guess is, in the press release you talk about the ROE, ex AOCI and other FCTA of 10.7% and I know you don't give guidance on ROE but as we think about kind of the trajectory of this, does it feel like the ROE is sort of bottoming at this level or could we see some continued pressure on that ROE?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Suneet, obviously, the external pressures on us are significant and we've discussed that. I'd say in the near term given current interest rates and the macroeconomic factors, in that high 10%, 11% range is probably what we're looking at.
Suneet L. Kamath - UBS Securities LLC: Okay. Thanks.
Operator: Your next question comes from the line of Seth Weiss from Bank of America Merrill Lynch. Please go ahead.
Seth M. Weiss - Bank of America Merrill Lynch: Hi. Good morning. Steve, I wanted to return to your comments regarding Fed regulations specifically Tarullo's comments on non-traditional activities. I know earlier in the summer you spoke about funding agreements, commercial paper, securities lending and guaranteed investment contracts in terms of an area that the Fed may be looked closer at. If these were deemed non-traditional and were holding you up for the SIFI designation, how quickly would you be able to exit these businesses and would you consider doing that if it would have a substantial regulatory benefit?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Those are short duration businesses and liabilities. So we could move pretty quickly. What we would do is once the capital rules came out, we would look at the cost and benefits to the company overall and we have to make a decision based upon that analysis. So until then, it's hard to say what we actually would do but in the day, it ended up being a fairly straightforward analysis for us.
Seth M. Weiss - Bank of America Merrill Lynch: Okay. Great. And regarding variable annuities, do you have any hints if this is something the Fed considers non-traditional similar to how the international regulators are looking at it or is this something that the Fed has perhaps shown some comfort around?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi. Seth, it's John. The Fed has given no guidance as to what they're considering to be weighted in different ways. They're looking at all aspects of the insurance business and the industry is in discussions with them but they really have given us no indication at this time as to how they'll view any line of business.
Seth M. Weiss - Bank of America Merrill Lynch: Okay. Thanks for the comments.
Operator: Your next question comes from the line of Jay Gelb from Barclays. Please go ahead.
Jay H. Gelb - Barclays Capital, Inc.: Thank you. With regard to the pushing out the long-term 10-year treasury rate assumption to 11 years from three years, what are the implications on that for future margins? It seems like it would be less of a drag going forward.
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi, Jay. When we say less of a drag, I mean, it's just a slope, takes longer. We think a GAAP charge in that today as you can see and then it just – the earnings flow through over time. So I guess maybe I could follow up if you clarify your question a little bit?
Jay H. Gelb - Barclays Capital, Inc.: Sure. It seems that if the assumption was – previously it was going to be three years to get there and now we're talking 11 years, there might be less additions to reserves going forward? Is that – am I thinking about that the right way?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Well it would be now set, if interest rates go up exactly according to this slope, then you'd have normal profits coming through and no changes to DAC amortizations. This is primarily a DAC change. You have less profits in the future, so you need to adjust your DAC today and the patterns go out in a consistent manner.
Jay H. Gelb - Barclays Capital, Inc.: Okay. And then on the – I guess, a follow-up on the ROE comment, if I plug in 11% return on equity, I guess, around $6.0 in earnings next year, that seems to be perhaps a little bit less than consensus was expecting. Any potential offsets to that that we should be thinking about?
Edward A. Spehar - Head of Investor Relations, MetLife, Inc.: Hi, Jay. Well as I'd like to remind you, we don't give forward guidance. We've given you our views and I guess you can do your calculations so thanks.
Jay H. Gelb - Barclays Capital, Inc.: Thank you.
Operator: Your next question comes from the line of Ryan Krueger from KBW. Please go ahead.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Hi. Thanks. Good morning. I had a question on the higher P&C auto claims. It seems like you are experiencing the same issue some others in the industry are going through. Is this something that you'd expect to recur for a period of time before you can get rate increases pushed through?
Eric Thomas Steigerwalt - Chairman, President & Chief Executive Officer, MetLife Insurance Company of Connecticut: Hi. It's Eric. We probably are. I think it's fair to say we're experiencing reasonably what the rest of the industry is. You've heard from other companies that they've been talking about more miles driven, as a result, higher accidents. You heard John say that overall our results frankly in both group and retail is slightly higher frequency and severity. So we're not sure if this is going to continue for quarters and quarters and quarters. We are all over price increases. When we feel we have to take them, as we have in this year, we will. And over time, we'll let you know what our decisions have been going forward. So right now, we don't see anything far out of line with what we've been expecting. But if we continue to see pressure, then you can be assured that we will take increases.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Okay. Thanks. And then for John; do you have any preliminary expectations for the impact of year-end statutory asset adequacy testing?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Well, that would be done at the end of the year. It depends on where interest rates end up and other factors. So I can't give you, I can't predict where interest rates will be at the end of the year. And that's one of the most sensitive points.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Okay. I got it. Thanks.
Operator: Your next question comes from the line of Erik Bass from Citigroup. Please go ahead.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Good morning. Thank you. In the past you've talked about a potential present value GAAP hit from sustained 2% rates is I think $3 billion. Are there any changes to that expectation or should we just think about the rate adjustment this quarter of the approximately $180 million is just subtracting from that amount?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi. This is John. That would be correct. We view the changes we made this quarter were consistent within that overall guidance that we've given.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Okay. Thanks. And then on Japan, just one question. You mentioned the third sector sales being up 23% this quarter. Can you comment on the competitive trends in that market and how long of a sales cycle you see for the new products that you introduced?
Christopher G. Townsend - President-Asia Region: Yeah. Sure. Chris Townsend here. So we introduced those new products in the beginning of the fourth quarter last year. And as you can see, we've had pretty good growth right through the first three quarters of this year. So overall, third sector was up 23%. We've got a tough comparison coming up against the fourth quarter of 2014, but I think overall, the prior guidance we've given you in terms of sales in the third sector was that we would grow it mid to high single digits this year. Given the performance we've had so far, we can lift that guidance now to a full year at about 10% to 12%. So the new products are progressing really well. They give customers good choice. They're simple products, they got segmented pricing. And all four of our key distribution channels are up, so we feel pretty good about that third sector right now.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Your next question comes from the line of Yaron Kinar from Deutsche Bank. Please go ahead.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Good morning. I actually want to follow up on Erik's question on the assumption review. So looking at this $3 billion in present value that you had talked about in the past from the low interest rate environment forever and comparing it to the $180 million in losses we saw this quarter, I was under the impression in the past that you had expected to see a lot of the charges coming in the first three years to five years. And in that sense I was a little surprised to see a relatively small impact from the new assumption this quarter and just wanted to square the two.
John C. R. Hele - Chief Financial Officer & Executive Vice President: I think what we had said before when we gave this guidance about $3 billion, most of it is in DAC. And as you change your assumptions, that tends to be immediate of course on your DAC amortization. There's also U.S. GAAP loss recognition testing that if you need to increase those, that's done over time. What I had said was I didn't expect to change assumptions immediately. To go right down to flat 2% forever would take some time for us ever to change our view on that as the world might change. Because for 10-year treasuries to remain at 2% forever means either no inflation or there's very little growth in the U.S. economy. We don't believe long term that that is the case, but we now believe it will take a lot longer to get there from where we are today. So that's the assumption change. And as I said, the calculations we have done are consistent with the prior year guidance that I've given.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Okay then that's helpful. And then turning back to P&C for a second, I was just wondering what was causing the more elevated or the greater deterioration, I guess, in group P&C versus retail, bearing in mind the industry trends that we're seeing in frequency and severity?
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Are you talking about – we didn't quite hear your question. Are you talking about the differential between group and retail? Was that part of your question?
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Yes. That's right.
Steven Albert Kandarian - Chairman, President & Chief Executive Officer: Yeah. So, buried in there as we add a little IBNR change so that's why the subtlety of my previous answer might have been missed but if you think about it, if I were to normalize that IBNR change, I would say that the hit to group and retail was roughly the same and completely driven by, as we already said, miles driven, both frequency and severity in both businesses. So that's a little bit more of a normalized answer there.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Okay. I appreciate it. Thank you.
Operator: Your next question comes from the line of Michael Kovac from Goldman Sachs. Please go ahead.
Mike E. Kovac - Goldman Sachs & Co.: Thanks. With the equity market volatility, clearly you saw the impact in the annuities segment for you and your peers. I am wondering if you can discuss some of the moving pieces particularly around how managed volatility products and your hedge program performed in the third quarter versus both your expectations and maybe some other market downturns?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi, Michael. This is John. As I said, the separate accounts were down about 6%. Our managed vol funds actually did a little better than that but were still negative. They were just around 4.5% – was about the amount for the target vol funds. So target vols are supposed to be better but to react in a quick quarter like this, it's harder for these so they did perform a bit better than what the S&P did which is down about 7% and our separate account returns in total were down about 6% but not flat or anything. It was a pretty rough quarter for the equity markets.
Mike E. Kovac - Goldman Sachs & Co.: And then as you think about variable annuity sales going forward, I know you had guided to 50% and then 20% in this quarter came in about 15%. Any thoughts on the outlook?
Eric Thomas Steigerwalt - Chairman, President & Chief Executive Officer, MetLife Insurance Company of Connecticut: Yeah, this is Eric. The number that I've been looking at – so you are quoting the pure variable annuity number. When I look at VAs and our Shield product, in the third quarter, we were up 26% and that is quite a good result. Our Shield sales continue to increase quarter-over-quarter, after quarter, sequentially and I think we are going to see the same thing generally in VAs. Certainly as we moved from 2014 – frankly from the 2012 through 2014 period of decreasing sales, 2015 was that inflection point and honestly very hard to project. So we are below what we had thought we would be able to do. There is a number of reasons for that. This quarter obviously volatility in the equity markets, state approvals throughout the year play a big part; certain key states came a fair amount later than we had thought they would. However at this point, sales are looking pretty good, the Flex product continues to take hold both in our captive channel and in all of our independent channels. So I am confident going forward that we will see good sales results, certainly double-digit sales results.
Operator: Your next question comes from the line of John Nadel from Piper Jaffray. Please go ahead
John M. Nadel - Piper Jaffray & Co (Broker): Hey. Good morning, everybody. A lot of questions asked and answered. You have a wide range for the loss expected for the corporate segment for the full year. I think if we make all of your normalizing adjustments you're around a $420 million loss but you have a range of I believe it was $550 million to $750 million. Can you give us some help on what end of that range or where in that range you expect to end the year given you have got just a few months left?
John C. R. Hele - Chief Financial Officer & Executive Vice President: I'd still stick with that range. We have timing of preferred dividends now. We refinanced one of our preferred dividends and there's a gain this quarter because it's now a semi-annual dividend and it'll hit the fourth quarter so there's going to be some bumpy timing as we look quarter to quarter now. The old preferreds that we took out were quarterly dividends so it's smoother. The new piece that we did, it is a net savings to us by doing this but it'll be more bumpy.
John M. Nadel - Piper Jaffray & Co (Broker): Okay, that is helpful. And then I wanted to think about the – on a normalized basis the Asia segment has seen a reasonable amount of volatility in earnings for a business that I think should generally versus more of your capital markets sense of the businesses, I would expect it to be a bit more stable and predictable. That range is pretty wide on a quarterly basis. So just thinking about second quarter and third quarter here in particular, which one of those normalized numbers do you think is a better true indication of the earnings power of that business that you're annualizing?
Christopher G. Townsend - President-Asia Region: Hi. It's Chris Townsend here. We gave some guidance previously in terms of the range. It was a low single to sort of high single to low double digit earnings rates on a constant rate basis for Asia and we're still sticking with that in terms of the year for 2015. If you look at this quarter, for instance, obviously last quarter we had that very high one-off tax issue in Japan which threw the numbers out. But for this quarter, the constant rate growth is 26% and there's three main items in that. One is business growth which accounts for about 11% or 12% of that. One is favorable investment income of $21 million which is about 7% and then there's a couple of one-off tax items. So you should probably think about 310 to 320 (54:53) plus or minus 5% is the sort of average run rate for the Asia business.
John M. Nadel - Piper Jaffray & Co (Broker): That's very helpful. Thank you, Chris.
Operator: And your final question today comes from the line of Eric Berg from RBC Capital Markets. Please go ahead.
Eric Berg - RBC Capital Markets LLC: Thanks very much for including me at the end here. A couple of quick questions. The increase in the number of years that you expect to be 10-year to reach 4% I think in the quarter from 3 years to 11 years strikes me as a major change. And so my question is at least it strikes me that way. So my question is, is this something that you have decided recently that you have been thinking about for a while? And given that interest rates have actually risen this year, treasury yields are flat but credit spreads have widened. As you think about what has happened in the world, what has prompted you to make what seems to be such a dramatic change in your outlook for interest rates? Thanks.
John C. R. Hele - Chief Financial Officer & Executive Vice President: Thanks, Eric. This is John. So obviously, where interest rates go long-term is very important for us in how we price, how we think and how we account for our business. We spend a lot of time thinking about 4.5% is still the correct long, long-term assumption and when I say long-term, we're putting liabilities in the books today that may last for 100 years given life expectancies of young people. So it's a very long-term assumption. So that we think about that and the question is how fast will we get there and I would say currently and we talked to a lot of economists and academics on this and looked at the global economy, I think given this year compared to even a few years ago where there was much more optimism about the recovery of the world economies, we see a much slower growth for now and for the foreseeable future. And that's why we put a longer slope going out on the treasury rate which is the risk-free rate. When it comes to credit spreads, we really normalize those over the entire credit cycle and the fact they're up in the quarter or down in the quarter doesn't really impact our thinking over a very long-term cycle. And we study credit spreads over decades and that's how we set these long-term assumptions and we're lucky we have experience of credit cycles over decades and have very good experience in this. So that's of our thinking and behind how we set these assumptions.
Eric Berg - RBC Capital Markets LLC: Thanks, John.
Operator: And there are no further questions.
Edward A. Spehar - Head of Investor Relations, MetLife, Inc.: Okay, well thank you very much for joining. Have a good day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.